Operator: Welcome to the Uranium Resources’ Full Year 2013 Financial Results and Company Update Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator Instructions) At this time, I would like to turn the conference over to Wendy Yang, Investor Relations for Uranium Resources. Please go ahead.
Wendy Yang: Thank you, Saatchi. Welcome everyone to Uranium Resources’ full year 2013 financial results conference call. I’m Wendy Yang, Investor Relations for Uranium Resources. You will find our Company listed as URRE on the NASDAQ. This call is being webcast on our Web site at www.uraniumresources.com where we have posted slides to accompany our remarks. Telephonic replay of the call will be available from our Web site for three weeks following today’s call. We will be discussing some forward-looking information today and we caution our audience that such statements involve risks and uncertainties that could cause actual results to differ materially from projections. Please review our Cautionary Statement on Slide 2 and review the risk factors including some that are specific to our industry described in our latest Annual and Quarterly Financial Reports filed with the U.S. SEC. We have a brief presentation before the Q&A portion of today’s call. Our presenters are Chris Jones, President, Chief Executive Officer and Director; and Jeff Vigil, Chief Financial Officer and Vice President of Finance. We also have on the call Mark Pelizza, Senior Vice President of Health, Safety and Environment Affairs; Ted Wilton, Vice President and Chief Geologist; and Dain McCoig, Vice President of South Texas Operations. Chris, please go head.
Chris Jones: Welcome and thank you all for joining us today. Before we begin, I’d like to welcome Wendy Yang to the team to support us in Investor Relations. Let’s get started with Slide 3. It’s my first time reporting to you on full year results as next week marks my one year anniversary with Uranium Resources. 2013 has been a year of restructuring. I am pleased to report that our team significantly improved the financial, operational and G&A position of the Company. We are now well positioned for a decision to restart production at our operations in South Texas when we see a sustained improvement in uranium market. In view of the sluggish uranium market, we made necessary belt tightening and sometimes took painful steps to make this a leaner origination. We’ve moved up the back of our heels to be on our toes ready for the road ahead. 2014 will be about optimizing the technical and operational components of the projects in the pipeline and maintain readiness to fast track resumption of production. We are the new Uranium Resources with committed and energetic employees and Board of Directors. Our management team with over 170 years of industry experience is working very hard to deliver value from our two 800,000 pound per year processing facilities in Texas. Significant in-place mineralized resources with the majority on deeded mineral rights in the prolific Grants Mineral Belt in New Mexico and an extensive database of uranium exploration information and drilling data for the Western United States, which has a replacement value of $700 million. Turning to Slide 4, we see that it has been a tough year for the uranium price which dropped 18% in the last 12 months. However, we’re cautiously optimistic and share the view of many analytics who project a recovery in uranium market based on improving fundamentals with supply and demand. All the uranium production has tightened from production cuts and the deferral of new projects and secondary supply inventories have been drawn down. Demand for uranium is expected to improve from an increase in nuclear power generation in China and the gradual restarting of the ideal nuclear reactors in Japan. Over the past year, our Company fared better than the Global X Uranium ETF, but we recognized that our shareholders are seeking more from their investment. We are grateful for the support and trust of our shareholders demonstrated by the equity financings that reinforced our working capital and financial position. As shown on Slide 5 and 6, we logged several milestones in 2013. We’ve enhanced our working capital position. We expect to further improve working capital to be positive at the end of the first quarter. Our cash and equivalents stood at $11.2 million at March 1, our Company is funded well into 2015. Job one continues to be whittling down the cash burn rate which dropped 13% to $14.9 million in 2013 compared with $17.2 million in 2012. We closed several officers, rationalized land management to cut fees, and consolidated management functions and records to our new corporate office here in the Greater Denver area. We reinforced our financial position. In January 2013 and in the first quarter of 2014, equity finances provided over 20 million. We secured a senior convertible debt facility for up to $15 million from our largest shareholder Resource Capital Funds and we’ve drawn down $5 million in convertible debt with the remaining two tranches available at our option. In addition, the balance sheet improved from the return of $5.4 million in restricted cash from new reclamation surety bonds which have a lower cash collateral requirement. The soft uranium market requires we adapt. We have a revised uranium sales supply contract with Itochu covering half of all future production up to 3 million pounds from our South Texas operations. We also took a hard look at our projects in the pipeline. We reprioritized our projects into three tiers for a near-term, mid-term and a long-term path to production. We are focused on the near-term potential to resume production at our two licensed ISR plants in South Texas. Our optimization drive in 2014 is not only internal, but also outward looking in studying the competitive landscape. We believe we can leverage our permitted facilities by pursuing value accretive opportunities to add quality reserves within an economic haulage distance of our Texas plants. Over the mid-term of the next several years we are planning on advancing our Churchrock, ISR project in New Mexico into production. We were pleased to receive acknowledgment of the Company’s access to and surface used for our project by the Navajo Nation Council Resource & Development Committee in December. At the Kingsville, Dome plant we completed the $4.5 million pond restoration project in January 2014. Last and certainly not least on behalf of the Board of Directors and shareholders I commend our employees for working three years without a recordable safety incident or lost time accident. We are nearing 1,100 perfect days for safety. Slide 7 provides an overview of our two processing plants. At Kingsville, Dome the sales volume of yellowcake recovered from the pond restoration project partially offsets some of the costs of the project. We spent $2 million in 2013 and just over $200,000 in the first quarter of 2014 to complete the pond restoration project. We are underway with well filled stabilization work. It is a major milestone in the production cycle that we have completed all ground water and the Kingsville Dome pond restoration work to significantly reduce our cash operating expenses going forward. At Rosita, well field stabilization work was completed and we expect to begin well plugging this year. Rosita represents our near-term potential to fast track to production from well field eight. Jeff and his team did the heavy lifting for our recapitalization and strengthened financial position. So I’ll turn this over to Jeff.
Jeff Vigil: Good morning, everyone. Turning to Slide 8, based on yesterday’s closing price of $2.77 per share URRE’s share price has risen 58% from the 52 week low and there’s a 50% of the 52 week high. Our stock trades over a $1 million a day which provides good trading liquidity. Our balance sheet at March 1 stands at 11.2 million compared to 1.1 million at December 31, 2013. Since November 2013, we have drawn 5 million of the first tranche of the convertible debt facility. With shareholder approval at the convertible debt facility on January 29, 2014 the interest rate on the debt is now 10%. Convertible price is -- the closure price is $2.60 per share and it certainly expires at the end of 2016. We have two remaining tranches of 5 million each at our option over roughly the next few quarters. Turning to Slide 9, as Chris has noted earlier, we have improved our working capital position in 2013 versus 2012 and expect to have positive working capital when we report results for the first quarter of 2014. We continue our efforts to bring down cash burn to under a $1 million per month. We expect to see a reduction of cash, fees and operations from the statement of cash flows in 2014. Net loss per diluted share decreased to $1.06 in 2013 compared to a $1.58 in 2012. The net loss of 20.3 million in 2013 was higher than 2012 due primarily to an increase in impairment charges of 2.4 million and higher interest expense and amortization totaling about 700,000. In 2013 net loss was partially offset by a decrease of 1.7 million in mineral property expenses. The 12% decline in the long-term uranium price impacted the carrying value of our mineral properties in Texas and New Mexico resulting in the write-downs of 4.1 million in total for 2013. Related to activities to streamline the organization, I’d like to thank our accounting group and staff for completing the smooth transition and upgrade to Microsoft Great Plains, this greatly enhances our effectiveness of our cost controls and accounting procedures and reporting systems. With this I’ll turn the discussion back to Chris.
Chris Jones: Thanks, Jeff. We have outlined our goals for 2014 carrying through our optimization drive for 2014. We expect to issue National Instrument 43-101, compliant Technical Reports for Cebolleta and Roca Honda in New Mexico mid-year and for the Churchrock project by the end of 2014. Our staff and independent qualified persons are jointly preparing these reports. National Instrument 43-101 is the gold standard for reporting in the industry and it helps to further optimize the technical and operational components of our projects. We are also evaluating and prioritizing other projects for 43-101 Technical Reports and expect we will announce a rollout schedule in the second half of 2014. Jeff has already spoken about trimming the cash burn rate to under a $1 million per month for 2014. We are running more efficiently across the organization and can certainly do better. In the Mexico, we are in dialogue with Navajo Nation the subcommittee made up of Navajo and company representatives have started its work. We are confident that we will reach an agreement of mutual benefit that will set up the process for the development of Churchrock safely and for the economic benefit of current and next generation stakeholders and our shareholders. Optimization is about planning and balancing near-term, mid-term and long-term priorities. In this regard, we believe there are opportunities to add to our assets base in the current market and we’re pursuing value accretive opportunities. We have positioned the Company to be ready for to resume production when we see a sustained stronger uranium market. We are in a cyclical business with its challenges, but also with opportunities just as stock investors are looking to be opportunistic in the uranium sector. We believe there are opportunities to expand our mineralized material and asset base. We believe the best is yet to come for Uranium Resources. I look forward to updating you throughout the year on our progress. Operator, we’re ready for questions.
Question:
and:
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) The first next question is from Aaron Salz of Dundee Capital Markets. Please go ahead.
Aaron Salz : Hi Chris and everyone on the line. Just a quick question here, for your 2014 outlook could you just please try to expand I guess that last point pursue of the opportunistic value accretive acquisitions and offering/processing agreement, so I guess A; are you talking Greenfield or Brownfield type assets, is that going to in the U.S. that you’re looking and particularly obliviously with your two processing faculties? And the second question with the offering/processing agreements are you talking about further sales contracts? Thanks.
 Dundee Capital Markets: Hi Chris and everyone on the line. Just a quick question here, for your 2014 outlook could you just please try to expand I guess that last point pursue of the opportunistic value accretive acquisitions and offering/processing agreement, so I guess A; are you talking Greenfield or Brownfield type assets, is that going to in the U.S. that you’re looking and particularly obliviously with your two processing faculties? And the second question with the offering/processing agreements are you talking about further sales contracts? Thanks.
Chris Jones: Thank you, Aaron. With regard to the types of things we’re looking at right now in the M&A acquisition space. Primarily we look geographically to North America to start with. It’s our wheelhouse and of course geographically we’re in the center of North America, so it works for us. We’re looking at all opportunities whether they be operating agreements, joint ventures, outright purchases of high value but low cost properties and primarily in the post-Greenfield space something that’s got a lot of bit of development in it for now and then I think later when the uranium market recovers and we can do so Greenfield projects as they come available. Aaron, did that answer both your questions?
Aaron Salz : Yes, I mean, I guess. So both of your facilities are in South Texas kind of area, so I guess assets around there are probably ideal if you’re looking for a quick path to production to add pounds around those plants or are you may be looking in some of the other states like Wyoming and ISR type production there?
 Dundee Capital Markets: Yes, I mean, I guess. So both of your facilities are in South Texas kind of area, so I guess assets around there are probably ideal if you’re looking for a quick path to production to add pounds around those plants or are you may be looking in some of the other states like Wyoming and ISR type production there?
Chris Jones: Obviously Texas is within shorter haulage distance for our Texas facilities and also a quick plug for Texas. It’s a great place to do business. Permitting timelines and the all around climate for doing business down there is superior. That does not mean that that’s all the geography we’re looking at, however, anywhere there is ISR potential we’re in examination mode right now.
Aaron Salz : Okay and then just lastly and then I will end it there for now. So would you exclude exploration projects in Canada let’s say like at the Athabasca Basin or like you said you’re trying to stay away from the Greenfields?
 Dundee Capital Markets: Okay and then just lastly and then I will end it there for now. So would you exclude exploration projects in Canada let’s say like at the Athabasca Basin or like you said you’re trying to stay away from the Greenfields?
Chris Jones: ISR is really our wheelhouse right now. The Athabasca Basin while popular and certainly prolific in terms of exploration is just a little apart from our current area of interest.
Aaron Salz : Makes sense, okay thanks.
 Dundee Capital Markets: Makes sense, okay thanks.
Chris Jones: Thanks Aaron.
Operator: The next question is from Bryan Bergin of Cowen & Company. Please so ahead.
Bryan Bergin : Good morning.
 Cowen & Company: Good morning.
Wendy Yang: Good morning.
Chris Jones: Good morning to you.
Bryan Bergin : If you guys can just provide a little bit further detail on the targeted cash burn savings, and a large chunk of that is obviously the restoration work that’s already been completed but any other means through corporate spending that you can detail?
 Cowen & Company: If you guys can just provide a little bit further detail on the targeted cash burn savings, and a large chunk of that is obviously the restoration work that’s already been completed but any other means through corporate spending that you can detail?
Jeff Vigil: Okay, sure, when we examined our budget, I mean the areas that obviously the G&A was an area that we want to focus very hard on in 2014. We focused in 2013 on more of the operating in mineral property side, areas where we believe we have some opportunities as in legal costs and consulting costs and I mean obviously we believe that these cuts, we got the, if you want to say low hanging fruit last year, these are little more exacting and for us to go get but we’re very focused on achieving that. Do you have anything to add, Chris?
Chris Jones: Bryan, and thanks for the question, just a little bit to add, if you look at our G&A costs, in our particular circumstance they kind of fall into a couple or three buckets, one is the legal costs involved with doing business here in United States are higher than were used to in places like Canada or Australia. Secondly, the landholding costs for us represent a big area of both improvement but have spent at this particular time. We compete with the oil and gas business for leases we’re in the same geographies as like the Eagle Ford shale and other places and that tends to elevate our landholding costs on new leases but that doesn’t mean we can’t manage our costs down, I want to emphasize.
Bryan Bergin : Okay and one other one. Chris, as far as, I know it’s difficult to give any timing on the Navajo negotiations, what are some of the mile markers that the Company has kind of put forward, or things that we could watch out for to kind of get a sense of how it is progressing?
 Cowen & Company: Okay and one other one. Chris, as far as, I know it’s difficult to give any timing on the Navajo negotiations, what are some of the mile markers that the Company has kind of put forward, or things that we could watch out for to kind of get a sense of how it is progressing?
Chris Jones: Bryan, you’re right, it’s difficult to put timelines on a process, that we’re negotiating for mutual benefit of the nation and us, obviously our interests are in progressing Churchrock and their interests are in making sure that we do so safely and with a high degree of environmental consciousness, so we’re proceeding slowly but I will tell you this and I think maybe perhaps the most exciting part of the negotiating so far is we have met twice already and we’ll meet again at the end of April. So process wise I’m very pleased with how far we’re going.
Bryan Bergin : Okay, great, thank you very much.
 Cowen & Company: Okay, great, thank you very much.
Chris Jones: Thank you, Bryan.
Operator: (Operator Instructions) The next question is from Ben Atkinson of Gagnon Securities, please go ahead.
Neil Gagnon : Hi gents, it is Neil Gagnon and Ben Atkinson. You mentioned that you’re going to do these restarts when the price of uranium improves. What are the things that you’re looking at and trying to follow on a daily or weekly basis that would give you an indication of that and we also might follow?
 Gagnon Securities: Hi gents, it is Neil Gagnon and Ben Atkinson. You mentioned that you’re going to do these restarts when the price of uranium improves. What are the things that you’re looking at and trying to follow on a daily or weekly basis that would give you an indication of that and we also might follow?
Chris Jones: Neil and Ben, thank you for your question. I think a couple of things, we’re looking for a trend to support a price that is, spot market price that is leased in the mid 40s and spot market frankly is the most transparent pricing for all of us to follow, but remember that our contracts allow for us to split the difference between long-term and short-term pricing and at a discount to that, so you should think about a spot market price in the mid 40s as giving us the 10% margin we’d like for a safe restart. In order to serve that trend what we’re looking for in used catalysts as many people are is really the first restart of a nuclear reactor in Japan. We understand that there are 17 applications for a restart and progress right now, that there’s a potential for six restarts this year and one as early as April, potentially. Those are the kind of catalysts we’re looking for and I would ask you to as well.
Ben Atkinson : It’s Ben. Thank you, that was complete.
 Gagnon Securities: It’s Ben. Thank you, that was complete.
Chris Jones: Thanks guys.
Operator: There are no more questions at this time. I’ll hand the call back over to Mr. Christopher Jones for closing comments.
Chris Jones: Thank you very much and ladies and gentlemen thank you for sharing a part of your day with us, for an update on Uranium Resources. My team and I are excited about our future and are positioned for growth. Have a great day.
Operator: This concludes today’s conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.